Unidentified Company Representative: Hello everybody, welcome to the strategic update presentation for Vivo Power. Today's the 5th of December. We'll be going through both the strategic updates as well as a review of the FY'24 results. Welcome again to the call. Let's kick off on time, so we'll jump to the first page. Just by way of summary, it's been a very active year, a transformational year for the company with strategic exits as well as a number of corporate transactions that we have live. So the team's been exceptionally busy. Just to touch on the key items over the past 12 months and that are live at the moment. Firstly, we've completed the exit of the Aevitas Critical Power Solutions businesses in Australia. They've been part of the group since day one back in 2014. So this is a major strategic move that was completed in July post-balance date. One of the key reasons we decided to exit is that over the past three years as shareholders have been with us for a while, I've seen this business unit has been adversely affected by climate change events. We had abnormal flooding, which impacted us on a couple of solar projects, labor shortages, productivity challenges, high inflation, as well as a declining Australian dollar versus the U.S. dollar has made what used to be our cash cow a very different business today. So we are now in the final stages of just some restructuring work at the back end to complete the residual post-exit corporate structure to tidy things up and then this business will be fully exited. Moving on to Tembo, from an underlying operational strategy perspective, our big focus as foreshadowed two years ago has been to really transform the supply chain. We were beset with supply chain challenges like many other companies coming out of COVID and we realized then that we needed to change that. So very happy to say that since the start of this year we now have a Pan-Asian supply chain that spans China, Thailand, Philippines, India, amongst others. What this has also done is, aside from de-risking our reliance on certain suppliers, it has materially reduced the bill of materials on cost for Tembo and that is essential to stimulating more demands and increase sales orders. The feedback we're getting from customers is that, yes, it's great to help the environment but it's got to be economic for them to do so and with the bomb costs as I'll go through that have now, we're very well placed to do that. In the past year we've also added two new product lines that are complementary to Tembo, one being the Jeepney kits for the Philippines and secondly the full electric Tembo Tusker which is in Australia and New Zealand at the moment, and we will look to go into some of our other markets for that. Moving on, we announced earlier this year a business combination agreement with Cactus Acquisition Corporation to reverse merge Tembo at an equity value of 838 million. This process has taken longer than expected. There are NASDAQ rules for SPACs, that's public information, that have applied since around July and we had to also complete what's called a PCAOB audit of Tembo's accounts as a standalone entity. Pleasingly that's now done, so the Tembo audited accounts are complete and we can get back on track as far as closing this deal out. At this stage with target five, obviously that's subject to change again depending on the mandatory SEC review process. This transaction is in turn as flagged as a precondition for the fast reverse merger that we had announced a couple of months ago. The key focus here is getting this Tembo SPAC deal across the line and having Tembo as a separately listed company first. We've completed a cap raise earlier this year to reduce debt and to fund working capital. Since balance date a total of 6.9 million of net proceeds was raised. That was all from institutional investors and family offices in particular. As a consequence our net debt reduced from 31.8 to 28.9 and we continue to manage our cash carefully. We've significantly reduced our burn rates and that's a good segue then into the last point here which is with respect to Caret Digital. As foreshadowed a couple of weeks ago, we are activating on what would be the highest and best use case from a power to x strategy perspective and that is doge mining. So we've selected two renewable power housing applications in Wisconsin and Oregon and we have the capacity to go up to a thousand and more initially and that translates into a revenue of up to 25 million at current prices even up to 12 million at current prices as well. Separately we are now executing our plans to develop a renewable power doge facility in Texas up to 55 megawatts. Revenue potential for that would be up to 150 million with EBITDA potential of up to 135 million. We still are evaluating what is the best outcome for Vivo shareholders in relation to potential spin-off. We've had a couple of approaches with respect to reverse merging Caret Digital since we made that announcement and we are minded to look at special dividends for our shareholders as part of any transaction that might manifest. Let's jump to the next slide. Just a reiteration of what purpose is a company. We're very mindful that we are working towards delivering the triple bottom line here which is people, profit, planet. I think that's mutually exclusive and that runs deep through the culture of the company. Moving on. Just going through the numbers. These are audited figures, but they are pending final peer review and sign-off by the auditors which we envisage will happen in the next few days to enable filing to be done ahead of the extended period of time that we've got which I believe is January 2025. So we're targeting to have this filed next week at the very latest. Headline here with revenues down year-on-year reflects the decline in the critical power business. These are statutory numbers, so they include discontinued operations. As mentioned before, lower Australian dollar, reduced market activity have really contributed to that. Gross profit-wise, we managed to get that back to positive and then on an underlying adjusted EBITDA basis and improvements on the prior year which was negative 9.9. That was reduced to 7. We did take impairments on the sale of tangible and EBITDA's critical power business units as well as a couple of solid releases so we've mothballed. So we took impairments of 30 million. Again, this is really just to clear the decks ahead of repositioning Vivo with respect to the business units that we want to focus on. Translating that at an underlying EPS level, a small improvement, I guess, from negative 5.7 to negative 4.8. Next slide. This is just a reconciliation breakdown. Go through that in detail. Let's jump to the next one. Again, this is a breakdown from the net loss to the underlying EBITDA figures I mentioned. This will be available on our website. So there'll be an opportunity to look into this in more detail. From a balance sheet perspective, I think the key point here is what's at the bottom which is net debt has reduced from 31.8 to 28.9. We'll continue to look to do that over the next 12 months. So jumping into the individual business, the Tuskers are the full electric OEM vehicle that we introduced initially into the Australian marketplace back in June. We imported six single cab and dual cab two-wheel drive vehicles into the country. We've had them with a range of interested fleet owners and fleet managers for the best part of six months now. On a cumulative basis, 13,000 plus kilometers have been driven by these fleet owners. That's what we call the evaluation phase. It's fair to say that that's expected from our perspective. The feedback that we've received are from a myriad of different industries. That includes waste management with the likes of Clean Away, road management with Evolution Traffic, infrastructure services, [Benang] [ph] and the likes, as well as [Marble] [ph]. These have been tested in real-life working situations, both from an on-road and off-road perspective. This is a no-frills exercise. We're not competing in B2C segments of the market. These are utility vehicles, pick-up trucks that are meant to work. As mentioned, we've received very good feedback. Always a few tweaks from a localization and improvement perspective that have been noted. We've upgraded our updates in the production models, which are being shipped and delivered at present. One thing that's really come out to us is the importance of training. That's an important service that we will provide to assist drivers to develop safe EV driving skills. For those of you who've driven an EV for a period of time, you'll know that the torque is significantly more powerful than an ICE vehicle. That can be quite dangerous if you don't know what you're doing. [Technical Difficulty]. We've obviously had extensive experience on-road and off-road, including in Dubai last year, which was very challenging but fun. We just noticed that it's an important aspect from a driver-training perspective to provide these driver-training services to augment the vehicles. Very importantly, VTA homologation approval in Australia was secured in November 2024. [Technical Difficulty]. The first one was in LAP, China, so that's the only two in the market at the moment. So, we're very excited for securing this within six months and it's a testament to the quality of the vehicle as well. New Tusker models are arriving in early calendar 2025 as well, so that includes a full electric four-wheel drive. Lots of interest in four-wheel drive models for obvious reasons. And very importantly, the new models will have longer range but also enhance safety. It's braking, electronic parking braking, as well as lane systems within the vehicle and as part of the standard feature set. So, as mentioned, first deliveries are already on track. We're excited for Q1 calendar 2025 to be with our customers and partners and that's a batch of 22 with a minimum additional 28 to come, including four-wheel drive models for that period. So, really now we're at a point where it's all about driving sales and converting those sales. Okay, let's move on. So, just jumping to the Jeepneys. So, the first Tembo electric Jeepney kit arrived in the Philippines. That's with our partners Sarao Motors. Just to reiterate here, and this is something that seems extremely passionate about, our purpose for the Jeepney program is to help electrify and rejuvenate the iconic industry, which has been in the doldrums for the best part of 25-30 years and also is a significant contributor to the emissions problem. And so, the Jeepneys, on average, are almost 25 years old. If you've been to the Philippines, you'll see that there's more than 200,000 of them and one-third of the country is emissions. And that transcends into respiratory diseases, et cetera, across the populace. So, this is a very large problem that is a real challenge to try to contribute to fixing. What we want to be able to do is equip the Jeepney industry, the Jeepney co-ops and the Jeepney ecosystem to really rejuvenate and rebound and get triple bottom line benefits from doing so. So, we don't want to be front and center. We just want to help our partners to succeed. That's where we're kind of [Technical Difficulty] another famous tagline. Just circling back, so we first entered this Jeepney space in September 23 after signing a joint venture with Francisco Motors. That agreement has since lapsed. It was exclusive on the part of Francisco to us, even though we weren't non-exclusive. That said, though, we continue to feel inbound engagement from the various Jeepney co-ops that we've spoken to and met over the last 18 months, seeking engagements for the electric Jeepney. As I said, we want to help reactivate, rebuild what is an iconic industry. And that's the reason, I guess, that the co-ops reach out to us. We have since signed an exclusive joint venture with Sarao Motors. [Technical Difficulty]. They stand out in that regard and have a demand to electrify their own routes, which we're seeking to deliver on. And they also have the largest existing Jeepney assembly facility in the Philippines. There's no need to find another site and build it, which will take three to five years, if not longer. There is an existing site already, and we are working with Sarao to transform that, to have EV assembly capabilities, as well as the necessary charging infrastructure, as well as training of local Jeepney kits from San Luis Obispo, ready to go back to the country with design, engineering, and work. So it feels like a fantastic Philippine Jeepney that's going on in Sarao at the moment. That's extremely important. The look and feel has to be local and not something that looks like a bus or something that's commoditized. At least on the Jeepney front, what we've been also doing is financing solutions. It's really key to coming up with electrification in the Jeepney country. We have procured initial funding for Jeepney co-ops from family offices, foundations that are committed to the triple bottom line, currently in discussions with DFIs and other funding partners, such as the Asian Development Bank and others. I expect orders to be banked at the end of calendar 24, so in the next couple of weeks, we'll have orders. Jumping on. Last but not least, I'm going to talk about the EUV e-pound. So EUV represents electric utility vehicle. This is the traditional conversion business that Tembo was doing at the time we bought it back in 2020. And this is where we've really seen the benefits of the pivot from a supply chain perspective. It has materially reduced our bond costs. We're talking order of magnitude 30% to 40%. It also largely eliminates capital intensity. We no longer need to go and set up assembly and production facilities to convert these vehicles. We're doing so with our partners on the supply chain side in a very agile manner. So as we speak, there are conversions going on in India, Australia, and we are in the midst of having vehicles in the UAE as well. So this strategic supply chain has really transformed the process, the product, as well as the pipeline with respect to the EUV. We decided to give it a name, e-pound. Right now, what I focus on is ensuring we are able to reduce the assembly time even further. Again, by virtue of this supply chain that's agile, our assembly time is reduced by half. And it's given us also a significant cost advantage versus the rest of the market. We know that we are the cheapest in the market by quite a margin in terms of converting existing pickup trucks now. So that's something that's a really stimulated demand from our partners. [Technical Difficulty]. We've also now developed the ability to repower vehicle. So that picture there is a LC70 that was the first electric bike by Sam Rowe back in 2021-22, I believe it was. That's now being repowered, new batteries, more powerful, better safety features, better software, et cetera. So that's exciting for us as circular economy. It's also appealing to fleet owners managing cost saving as well as the circular economy benefits. So the new e-pound models are available from early 2025. They'll be available in Australia, Canada, Middle East, and Europe. Battery range, performance, safety features, new material upgrades, whilst being more affordable. It's really important in terms of driving sales growth and conversions. As with Jeepney growth sales order book and deliveries will be the focus of calendar 25. And with this lower bond cost, we're very confident that customer adoption and total cost of ownership is not an issue whatsoever. Let's jump on. So switching gears a little bit, Vivo SES, this is something that has been, I guess, in the background to the Tembo side of the business for the past two, three years. This is now a priority for us. And the reason is given the traction that we're seeing on the Tembo side with respect to sales and deliveries of the various products on Tembo side, you can't really scale adoption if we're not providing also a charging solution. Often these fleet owners do not have that. Often they are faced with significant friction, in particularly where they lease premises because they need to get landlord approval to make any changes to the facilities. And then there's typically an arm wrestle of, okay, well, who owns the charging station in that context? And normally the landlord wants to own it, but they don't want to pay for it or invest in it. So that often creates a significant point of friction. We now have a solution, picture there that we have to us a mobile charging solution to offer the fleet owners. So this obviates the need to install. It avoids all the installation friction and costs. Furthermore, it has the flexibility to be taken to and used on job sites. So in essence, it's similar to electric generator for lack of a better term as well. So it's not just to power or to charge vehicles, but also to be used on job sites. By the way, on the Tuskers, that's a feature that has been very popular, the ability to use the [VTL] [ph], vehicle load capability in the vehicle to charge your power tools, [indiscernible] without having to in essence. So again, this mobile charging solution, we've already made a couple of sales to be very popular. And we are very confident that this will be a great source of revenues for us as well as we build out sales and deliveries of the technology. The key element from a SES perspective that again, I've mentioned before is the training aspects, the training of fleet managers and drivers with regards to how to drive e-vehicles safely is also key, especially when you're carrying payload on the back. Unlike with a diesel or a petrol vehicle, you can't accelerate the same way as you do in one of those if you're carrying a ton of payload on the back. That can be very dangerous. Equally, you can't run down your vehicle to 5%, 6%, 7% battery capacity and go up and down terrain that often can lead to situations which are dangerous. So there's a big training aspect that's needed, which we're well down the track on delivering Tembo EV Academy. We've been working on that for two years behind the scenes, everything's established. And of course, to kick off programs with some of our partners in early 2025 onwards. So activity happening on SES fronts as well, and important to augment and to facilitate more sales and revenue on the Tembo site. Jumping to Caret, just up here strategy for Caret has been what's called Power-to-X strategy since 2021. And before then, this was, I guess, a vanilla solar development business. What we've done now is said, how can we apply Power-to-X and use what we have for the highest and best use cases in a vertically integrated manner? And right now, digital asset mining, crypto mining is the highest and best use case. And we have BTC mining. BTC has obviously cracked the 100,000. [Technical Difficulty] and the profitability of Bitcoin mining has stayed the same, if not gone down a bit, because there's more competition for the remaining points that are left. An announcement today that we are activating as soon as we, right now, basically, with respect to Doge mining, wanting to take advantage of the market opportunity that's there. And on that basis, we're kicking off with a hosted approach, which is a lower risk approach. It does mean we don't need to spend CapEx on power infrastructure straight away. And it allows us time to build up our experience in a profitable manner, even though most of the broader team that there is that experience. Outside of this, there's some margin leakage. But that said, margins are still pretty good at the current prices. We've secured non-diluted financing to buy [Technical Difficulty] L9 rigs for Doge mining purposes. And we've got a program to scale up to 1,000 rigs over the next six months. And that will translate then, again, all this is at current prices, into potential revenues of 25 million, the cash EBITDA of 10 million, conservatively. And in terms of the free cash flow generation that would come from that, that would benefit the whole group and could ensure that we're returning to cash flow profitability before the end of June 25. As mentioned, we do intend to use any free cash flow to help to scale up on the Tembo front as well. Longer term, we do see that we want to have our own vertically integrated renewable power data centers that can be used for crypto mining. And for example, a 55-megawatt facility could generate up to 150 million revenues, 135 million in EBITDA. Obviously, there is a CapEx that would be required to build out those facilities. But again, we'd be looking at non-diluted funding and not at a Vivo level, but at a Caret level. And that would comprise project finance, it would comprise tax equity finance, as well as debt. So that is our strategy with respect to Caret. As I mentioned before, just as a final note, we are still working on the corporate strategic options that we have before us in terms of spinoff, in terms of reverse merging. There's more than one counterparty that's approached us now. Or do we actually retain it if the cash flows are going to be strong and can be of benefit to VivoPower and what we're doing, as well as our shareholders? So that's all live in terms of evaluating what's best. We are minded to look at a special dividend should we go down the path of spinning off and/or reverse merging. That's it, everyone. Thank you very much for taking the time to join us. I think we can, if anyone wants to ask some questions, if you can just write them in the chat. And so we'll give a couple of minutes for that.
UnidentifiedCompany Representative: Nope. Well, thank you again, everyone, for joining. Rest assured, the team continues to be working frenetically behind the scenes. It's been a challenging year, but there's been a lot of positive developments, and we think we've got a very, very strong platform now to convert what has been going on behind the scenes into revenue and profitable cash going forward. Thank you all.